Operator: Good morning and welcome to the CBOE Third Quarter Financial Results Call 2015 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. Now, I’d like to turn the conference over to Debbie Koopman. Ms. Koopman, please go ahead.
Deborah Koopman: Thank you. Good morning and thank you for joining us for our third quarter 2015 earnings conference call. On the call today, Ed Tilly, our CEO, will provide an update on our strategic initiatives for 2015. Then, Alan Dean, our Executive Vice President and CFO, will review our third quarter 2015 financial results. Following their comments, we will open the call to Q&A. Also joining us for Q&A are Ed Provost, our President and COO, and John Deters, Chief Strategy Officer and Head of Corporate Initiatives. In addition, I'd like to point out that this presentation will include the use of several slides. We will be showing the slides and providing commentary on each. A downloadable copy of the slide presentation is available on the investor relations portion of our Web site. As a preliminary note, you should be aware that this presentation contains forward-looking statements, which represent our current judgment on what the future may hold, and while we believe these judgments are reasonable, these forward-looking statements are not guarantees of future performance and involve certain assumptions, risks and uncertainties. Actual outcomes and results may differ materially from what is expressed or implied in any forward-looking statements. Please refer to our filings with the SEC for a full disclosure of the factors that may affect any forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise, after this conference call. Now, I'd like to turn the call over to Ed Tilly.
Edward Tilly: Thank you, Debbie. Good morning and thank you for joining us today. I’m pleased to report that CBOE Holdings posted record financial results in the third quarter with new highs in operating revenues, operating margin and earnings per share. Tremendous industry wide volume in the third quarter, was outpaced by record volume in our premium products, including S&P 500 Index, SPX options, CBOE Volatility Index, VIX futures and options, and Russell 2000 Index RUT options. Record third quarter average daily volume in SPX options trading resulted in an increase of 39% sequentially and 36% year-over-year. SPX volume is up 8% year-to-date through October 28th. On April 1, CBOE became the exclusive home of Russell 2000 Index options RUT. We are pleased to note that average daily volume in RUT options reached a record high in the third quarter, increasing 23% over the previous quarter and 11% compared with 2014’s third quarter, when RUT was still multi-listed. We are confident we can continue to leverage our concentrated, non-fragmented pool of liquidity for RUT options to increase trading among institutional traders while expanding our customer base through joint marketing and educational efforts with our FTSE Russell partners. Both VIX options and VIX futures posted their strongest quarter ever. Average daily volume in VIX options increased 54% from the previous quarter and 45% from last year’s third quarter. VIX futures average daily volume rose 43% sequentially and 32% compared with last year’s third quarter. Year-to-date through October 28th, VIX options trading is down 11% and VIX futures trading is up 2%. Following spikes in volatility in the third quarter and a return to more historical VIX levels, we began to see somewhat lower levels of VIX in October. Regardless of market conditions, we remain focused on strategic initiatives that enable us to maintain profitability in periods of low volatility and to optimally benefit when volatility spikes and triggers increased trading. We continue to execute our core growth initiatives through our unique ability to create, collaborate, and connect with the marketplace. We launched VIX Weekly futures in July and VIX Weekly options earlier this month. VIX Weekly, combined with our standard monthly VIX options and futures, create a greatly expanded array of trading opportunities and tools to trade volatility. I am pleased to report on the strong debut for each product. Just weeks after launching, VIX Weekly options are averaging 25,000 contracts per day and hit a daily high of more than 68,000 contracts on October 22nd. VIX Weekly futures are averaging 300 contracts per day, with volume spikes of nearly 2,000 contracts per day. We are in the very early stages of developing this new dimension in VIX trading, but are beginning to see the same types of strategies and patterns that have characterized trading in standard VIX options, including more frequent rolling of certain strategies. We expect to see greater traction now that both futures and options are up and running and, in response to customer interest, we rolled out additional expirations this week and plan to add more expirations going forward. On October 20th, we began the roll out of our new FTSE Russell products with the launch of options on the Russell 1000, the Russell 1000 Value, and the Russell 1000 Growth indexes. Passive assets linked to the three indexes totaled $360 billion. Our ability to offer options on Russell large caps, alongside our popular RUT contract, enables market participants to efficiently target and trade key segments of the U.S. equity market. In all, the FTSE Russell Indexes licensed to CBOE represent a diverse group of domestic and global equities that offer international appeal. We look forward to the continued rollout of additional products, including the planned launch of options on the FTSE 100 and FTSE China 50 later this quarter. CBOE continues to identify synergies and collaborate with strategic partners to extend our global reach. As recently announced, CBOE partnered with the London Stock Exchange Group and major dealer banks in the launch and development of CurveGlobal, an innovative interest rate trading venue. CurveGlobal is expected to launch in the second quarter of 2016 with trading in futures based on major European interest rates. Additional products, including potential new products from CBOE, are expected to follow. CurveGlobal products will trade on the LSE Derivatives Market and will clear through LCH.Clearnet. This is an exciting time to be in the global interest rate marketplace. Our strategic investment in CurveGlobal allows us to participate in that space through a trading venue that will be highly differentiated by the partnership of major dealer banks, new interest rate products, increased trading efficiencies and reduced transaction costs. Our CurveGlobal partnership also enables us to work collaboratively to develop new products and further grow our worldwide customer base. We are pleased to be the U.S. anchor exchange for CurveGlobal and look forward to developing products suited to that venue and introducing the new platform to our U.S. customers. As announced in September, we also entered an agreement with Environmental Financial Products, EFP to launch a new interbank lending exchange, called the American Financial Exchange, AFX. The new exchange is an electronic marketplace for small and mid-sized banks to lend and borrow short-term funds. AFX also plans to provide a transaction-based interest-rate benchmark through weekly auctions to set a new rate for U.S. interbank lending, called Ameribor. CBOE looks forward to hosting, operating and helping to further develop this truly innovative marketplace. Connecting our global customer base with CBOE premium products continues to be a top priority. Since the implementation of near 24-hour trading in VIX futures in June 2014, trading outside of regular U.S. trading hours in that product has grown to an average of nearly 9% of total trading. On days when we’ve seen major breaking news, that figure has grown to 20%. This year, we launched an additional six-hour trading session in VIX and SPX options. The new VIX and SPX options session begins at 2:00 a.m. Chicago time, which aligns with the market open in London and the close in Asia. Trading in both products during European trading hours has steadily increased since the new session launched in March and, not surprisingly, increased dramatically when volatility spiked in July and August. This month, we added SPXPM options to our extended trading session and we will continue to add products where we see a need or opportunity. We continue to connect with sophisticated end users and early adopters of CBOE products through our trademark CBOE Risk Management Conferences, RMC. In September, we hosted a record number of attendees at our fourth annual RMC Europe in Geneva. I am pleased to note that this year we are expanding RMC beyond the U.S. and Europe, with the first RMC Asia, which will run November 30th and December 1st in Hong Kong. Our first RMC Asia will coincide with this quarter’s planned launch of options on the FTSE China 50, as well as the launch of the CBOE Options Institute at the Singapore Exchange. We are thrilled to extend our global reach in the growing Asian marketplace. In closing, I will note that our record third quarter volume and financial results were made possible by the talent and tenacity shown by the entire CBOE team in the face of sustained market headwinds in the first six months of 2015. Our team’s ability to stay the strategic course, even amidst challenging conditions, placed CBOE in a position to benefit optimally when the tide inevitably turned, as it did in July and August. It is very gratifying, of course, to reward our shareholders by posting record volume and financial results, but the tremendous quarter we just enjoyed also confirms and invigorates the confidence of our entire team in CBOE’s long-term strategy to further define and expand the options and volatility space. I want to thank our shareholders, our customers, and our entire team for their continued support and shared belief in our vision for CBOE. With that I’ll turn it over to Alan Dean.
Alan Dean: Thanks Ed and good morning everyone. Let me start with an overview of our results for the quarter. As Ed highlighted, CBOE achieved record results in the third quarter, hitting new highs on a number of financial measures fueled by record trading volume in our proprietary products. Operating revenue came in at $187 million, 26% above last year's third quarter. Operating income was $101.1 million, representing an operating margin of 54.1%, up 370 basis points compared with 50.4% in the third quarter of 2014. Adjusted net income allocated to common stockholders was $63 million, up 31% versus the third quarter of 2014, resulting in adjusted diluted earnings per share of $0.76, an increase of 33% compared with $0.57 per share for the same period last year. Before I continue, let me point out that our GAAP results reported for the third quarter of 2015 include certain unusual items that impact the comparison of our operating performance. These items are detailed in our non-GAAP information provided in the press release and in the appendix of our slide deck. Now, let's review our results in more detail, starting with operating revenue. As shown on this chart, the increase in operating revenue primarily resulted from higher transaction fees along with an increase in exchange services and other fees, offset somewhat by decreases in the access fees and other revenue. Transaction fees increased $40.5 million, or 39%, compared with the third quarter of 2014 resulting from a 31% increase in the average revenue per contract or RPC and a 6% increase in trading volume versus last year's third quarter. Total trading volume in our options products rose 5%, while the volume in our highest-margin futures contracts increased 32% over last year's third quarter. Furthermore, looking at options trading volume by product category, our higher RPC index options significantly outperformed the lowest RPC, multiply-listed options. Average daily volume in equity options decreased by 20%, options on exchange-traded products were generally unchanged and index options grew by 41% year-over-year and 44% compared with the second quarter. Our blended RPC, including options and futures, increased to $0.431 from $0.329 in last year's third quarter. The increase in RPC primarily reflects a favorable shift in the mix of trading volume to proprietary products, as well as RPC growth across each product category. Looking at the mix of trading volume by product category, our highest margin index options and futures contracts accounted for 44.6% of our trading in the third quarter, up from 33.8% in the same period last year. The RPC in our options business increased to $0.368 compared with $0.275 in the third quarter of 2014, largely due to the favorable volume mix. In addition, we saw RPC increases of 39% for equity options, 25% for options on exchange-traded products and 4% for index options, primarily resulting from fee adjustments made this year and lower volume discounts and incentives. Revenue per contract at CFE, our futures exchange, increased 1% to nearly $1.65 from $1.62 in last year's third quarter, reflecting the impact of fee changes implemented in January, offset somewhat by higher volume-related rebates. As a result of the shift in the volume mix and RPC increase, transaction fees generated from our proprietary products represented a higher proportion of our total transaction fees year-over-year and sequentially. In the third quarter, index options and futures contracts accounted for 84% of our transaction fees, up from 81.3% in the third quarter of 2014 and 82.4% in the second quarter of this year. Looking at some of the other factors influencing operating revenue, exchange services and other fees increased by $1.5 million. This increase was largely due to higher fees for systems services and revenue contributed from Livevol technology services, which became part of CBOE Holdings on August 7th. Access fees declined by $1.6 million, reflecting a decrease in trading permits. Other revenue fell by $900,000, primarily due to a decrease in revenue generated from regulatory service agreements, which ceased as of December 31, 2014. Turning to expenses, this next slide details total operating expenses of $85.9 million for the quarter, an increase of $12.1 million, or 16%, compared with last year's third quarter. Operating expenses for the quarter reflect higher costs for royalty fees, professional fees and outside services, depreciation and amortization and compensation and benefits. Core operating expenses were $51.1 million, an increase of $4.8 million or 10%, compared with the third quarter of 2014. This increase primarily reflects higher costs of $4.4 million in professional fees and outside services and $900,000 in compensation and benefits. As we have noted in prior quarters, the increase in professional fees and outside services is primarily attributed to our outsourcing of certain regulatory services to FINRA, which occurred in December of 2014. The increase in compensation and benefits largely reflects higher incentive-based compensation, which was driven by the Company's improved financial performance. This increase was offset somewhat by a decrease in salaries, due to the decline in staffing resulting from the outsourcing of certain regulatory services. As we mentioned on our last earnings call, given the sustained improvement in trading volume, we’re unwinding certain cost reductions we put in place earlier this year. As a result, we are updating our guidance for core expenses. We now expect core expenses for the year to be in the range of $194 million to $196 million, up from previous guidance of $190 million to $194 million, but still below the range we provided back in February of $195 million to $199 million. This change largely reflects higher performance-driven incentive compensation, which is directly tied to our financial results. Looking at volume based-expenses, royalty fees increased by $5.6 million, or 35%, reflecting the strong growth in licensed products traded during the quarter. Looking at the royalty rate per licensed contract traded, it came in at $0.146 this quarter, below the $0.163 we saw in the second quarter, resulting from a shift in the mix of products traded. Looking forward, depending on the mix of products traded, I’d expect the rate per licensed contract to be somewhere within this range. Our GAAP effective tax rate for the quarter was 33.4%, which includes the benefit of a release of certain -- the release of uncertain tax positions. Excluding a non-GAAP adjustment of $4.3 million, the effective tax rate for the current quarter was 37.7%. Year-to-date, our adjusted effective tax rate of 38.5% is in line with our guidance range for the full-year 2015 of 38.5% to 39.5%. Turning to the balance sheet, we finished the quarter with cash and cash equivalents of $122 million, compared to $90 million at the end of June and $148 million at the end of 2014. CBOE is a strong cash producing business. Through September, we generated net cash flows from operating activities of nearly $194 million versus $184 million in the same period last year, largely driven by the increase in net income. Through September of this year, we have used more than $54 million to pay dividends and nearly $101 million to repurchase our stock. Capital expenditures through September were $27 million. Looking out to the end of the year, we are reaffirming our prior guidance of $37 to $40 million. This capital spending includes the development of our new trading platform, CBOE Vector. I am pleased to say that Phase 1 of this project, which is the build out of our new systems for CFE, is on track. We expect the new CFE system to be up and running in the third quarter of 2016, with CBOE and C2 to follow. At September 30, 2015, we had approximately $92.2 million remaining under our existing share repurchase authorizations. Our capital allocation philosophy remains unchanged; first and foremost we will continue to invest in the growth of our business. We remain committed to returning excess cash to shareholders through sustainable dividends and share repurchases. We believe that one of the best investments available today is our own Company, so we plan to continue to opportunistically repurchase our stock. In summary, our third quarter results demonstrated the strength of our business model, powered by positive operating leverage that produced strong cash flows and record-setting operating margins. We continue to see solid growth opportunities ahead and look forward to continuing to deliver long-term value for all of our stakeholders. With that, I’ll turn the call back over to Debbie.
Deborah Koopman: Thanks. At this point, we’d be happy to take questions. We ask that you please limit your questions to one per person to allow time to get to everyone. But feel free to get back in the queue, and if time permits we'll take a second question. Operator?
Operator: Thank you. Yes, we will begin the question-and-answer session. [Operator Instructions] And the first question comes from Rich Repetto with Sandler O'Neill.
Rich Repetto: Good morning, Ed. Good morning, Alan, and congratulations on the many records in the quarter.
Alan Dean: Thanks, Rich.
Edward Tilly: Thank you.
Rich Repetto: So I guess the first the question I have is on capital usage. And the buyback was probably the lowest amount, and understandably because the stock price was up. But I guess, the question is when do you recalibrate that now that, now that you’re building cash. And then, Alan when you talked about other investments, could you talk about what are other things you could be investing in? And again, I believe your sort of principle has been you would rather grow the dividend than doing any variable dividend towards year-end?
Alan Dean: Rich, our philosophy or policy hasn’t changed. As I said in my prepared remarks, regular dividends, we want to see those grow with our business. After investing what we need to on our business to make sure we keep on growing after that stock repurchases we will be opportunistic, but we like our stock and so expect us to continue there. Now with all that being said, I won’t rule anything out there. Everything is on the table. We’ve done specials in the past. And I’m not trying to say that we’d -- there is something on the horizon, but we will consider all methods to return cash to shareholders. That’s the theme. Don’t hold on to shareholder cash and we’ve done that in the past and you can expect us to continue doing that in the future.
Rich Repetto: Okay. Thanks much. I will get back in the queue.
Alan Dean: Thanks, Rich.
Operator: Thank you. And the next question comes from Michael Carrier with Bank of America Merrill Lynch.
Michael Carrier: Thanks, guys. Just given the investment that you’re making in CurveGlobal. Just wanted to get your sense -- I know you mentioned, you hit on in a little bit, but when you look at the environment maybe whether its competitive environment, the regulatory environment, how do you think that platform like potentially differentiate, meaning why -- what’s attractive to make that investment?
John Deters: Good morning. This is John Deters. I think the things that we’d like folks to focus on when thinking about CurveGlobal are, first the participant. So we’ve got two leading global exchanges involved and our participation in particular, it’s a great question when you think about what we do well, when you think about our DNA, its product innovation. And so that leads you to the next point of what differentiates the CurveGlobal platform. It’s a platform that will be focused on product innovation, not strictly listing the products that are out there today. And then, I’d also point you to clearing environment for CurveGlobal. CurveGlobal will clear into LCH.Clearnet, which is the largest OTC swaps clearing platform in the world with close to 200 trillion in notional outstanding for swaps derivatives. And we think the opportunity to garner capital efficiencies with portfolio margining is tremendous. So we look forward to providing those novel products into the platform.
Michael Carrier: Okay. Thanks a lot.
Operator: Thank you. And the next question comes from Alex Kramm with UBS.
Alex Kramm: Yes. Hey, good morning everyone.
Edward Tilly: Good morning, Alex.
Alan Dean: Good morning, Alex.
Alex Kramm: Hey. First I guess only question is for Alan. I know people have asked this before, but the royalty number continues to surprise people, so hoping that you can give us a little more building blocks if you can use in the futures to -- future be better. I mean, I look at different product bucket, VIX futures, VIX options, SPX options, probably the biggest ones. All those increased fairly consistently 40%, 50% and your royalty fees were up 30%. So what am I missing, because it doesn’t seem to be mix of those three buckets, because they all increased have more than royalty fees, so what else am I missing? Thanks.
Alan Dean: Alex, the -- what you’re missing is that which I can’t provide you with is different rates that we’re paying in on the licensed products that we’re trading. And I think if you do a little bit closer analysis of the volume trends of the proprietary products that we traded, that might tell you more and might be able to give you better insights into why that licensed fee per contract dropped in the third quarter relative to the second quarter. There -- not all the products are the same for us, so we pay more on some products than we do on others. And that can impact that metric especially when you have a shift in relative volume. So does that help, Alex?
Alex Kramm: I mean, other three buckets that I just mentioned, are those the three one to think about or are there other things to think about? Maybe you can just speck at least, give us some help in terms of what products are -- generate more royalty fees than others? Or I’d just have to do it ourselves?
Alan Dean: Yes. Its VIX options, VIX futures, its SPX, its Russell. Those are the drivers of that line item and do the analysis; I think you might find some correlation.
Deborah Koopman: Yes, the mix shifted.
Alex Kramm: I will do some more analysis and I will come back for a follow-up. Thanks.
Edward Provost: Okay.
Alan Dean: Thanks, Alex.
Operator: Thank you. And the next question comes from Alex Blostein with Goldman Sachs.
Alex Blostein: Great. Hey, good morning, everybody.
Alan Dean: Good morning.
Alex Blostein: So bigger picture question for you guys, when you take a step back clearly in 2015, was it a little bit of a tale of two cities tough environment in the first part of the year and obviously very volatile third quarter. But when you look at the whole year holistically volumes in -- whether it’s CFE or index options or your listed product -- multi-listed product has been flattish to down on the year-over-year basis, and it’s hard for -- from our perspective I guess to see some of the organic growth initiatives that you’ve been highlighting. So, I guess the question is, is there any way to size how much organic initiatives have contributed to this year’s results, because we can't really see it from the volumes. And then more importantly, when you look out into next year, what would you consider to be a successful outcome from any of these growth initiatives you outlined today? Thanks.
Edward Tilly: Its Ed Tilly, I’ll start. Actually year-over-year SPX has actually been more than solid. We’re up 8% in SPX year-over-year, future is up roughly 2% even given the slow first quarter and VIX options just a terrific recovery from a first quarter, we were down about 40%, we’re down 11% year-over-year. So all of that certainly leads to a change in volatility and specifically the driver from our end users is the expected risk looking forward over the volatility curve. We talked a great deal on the first quarter, very, very low expectation of risk in the market place. The utility of VIX really outperforms when the expectation over time is an increased risk or more normal risk in insuring the S&P 500 with VIX future and options. The growth, when we look out over the next couple -- the next quarter or quarters into next year, still we will rely on an incredibly intense educational effort. We mentioned just a few of them in my prepared remarks. The joint educational opportunity with Singapore and Asia, our RMC -- our first RMC in Hong Kong completing our fourth in Europe. All of those point to increasing the user base not just domestically but globally for our unique product set, the SPX complex, the volatility complex and now of course FTSE Russell primarily with Russell. And well recently, we haven’t spent any time on that this call, this morning is adding another tool one that more closely tracks Spot VIX with the VIX Weekly option and future. I can't point to a better contract, better start to a new launch contract than the VIX Weekly. We’re in week -- roughly week three here averaging over 20,000 contracts a day and spiking already at 68,000 contracts. That’s pretty remarkable and then has to coincide with the concentrated educational effort to point out the differences and uniquely the similarities and what strategies work in trading on the short end of the volatility curve much more closely in line with Spot VIX compared to that traditional every 30 day expiration in the traditional VIX futures and VIX options. So long answer to a terrific question on what we think and what we expect in the future, more education, much more education, new product set out in the market place answering the demands from the short end of the curve, and I’d ask Ed and Alan if they’d like to join in.
Alan Dean: Ed, I think one, another initiative that has really paid off for us is extended trading hours. The geographic expansion that we’ve seen -- we’ve been able to make our products available in different time zones to people, to investors around the world that we -- has really paid off for us, particularly in VIX futures and now most recently in SPX and VIX options. So that’s another example of our growth initiatives that has really paid off along with the VIX Weekly story.
Edward Tilly: Great point. Thanks, Alan.
Alex Blostein: Great. Thanks.
Operator: Thank you. And the next question comes from Brian Bedell with Deutsche Bank.
Brian Bedell: Hi. Good morning folks.
Edward Tilly: Good morning.
Brian Bedell: Maybe either Ed or Alan, if you can talk a little bit more deeply about the RPCs and not so much the mix but actually more of the improvement trend in the third quarter by category, focusing more specifically I guess on the proprietary products on the index side and the futures VIX, the dynamic that helped the RPC improve with lower member discounts and as we come into the fourth quarter, where we’ve got VIX volumes down -- VIX futures volumes down a good 25% so far versus 3Q levels and the index options down 12% or 13%. How that dynamic may change the RPC per bucket in the fourth quarter?
Alan Dean:
--:
Brian Bedell: And just for ’16, are you basing the RPC flat to up slightly? Is that -- is the denominator there the third quarter or the full year of ’15 and is that the same comment through the VIX futures product?
Alan Dean: Restate the question. I want to make sure I understand.
Brian Bedell: Yes. So, index options, RPC flat to slightly up in 2016, is that from a base of third quarter RPC or for the full year 2016?
Alan Dean: Well the comparisons we’re making are relative to the third quarter of 2014. So -- but looking forward if I were to compare 2016 RPC and index and futures compared to 2015, I would expect flat to slightly up.
Brian Bedell: Okay, great. Thank you.
Alan Dean: Sure.
Operator: Thank you. And the next question comes from Ken Hill with Barclays.
Kenneth Hill: Hi. Good morning, everyone.
Edward Tilly: Good morning.
Alan Dean: Good morning.
Kenneth Hill: So you guys have a lot of partnerships out there. Right now a lot of them have clauses in them where you’re going to develop additional products on the back of them; I believe it’s explicitly stated in the FTSE Russell agreement where you’ve committed to rule out a new product every year. So you’re getting pulled in a lot of directions here. So moving forward, I guess how are you making sure you’re allocating the right resources to develop the products people want? And actually get the market marker buy-in, because I think that’s been a problem for some other products that haven’t taken off quite as well as you would have hoped. So just hoping to hear how you’re going to manage that going forward and then maybe some color on what products you’re hearing customers looking for right now?
Edward Tilly: Great question. So, just to be clear, we’re not being pulled in any new direction. Product development is core here and what these joint ventures and corporations and investments in short is the flexibility for us to develop the new products -- new products similar to what we’ve been doing over years here at CBOE. We gained the flexibility of platform, and now with CurveGlobal the flexibility of a clearing venue. But the resources dedicated to new products have not changed. We are as engaged as we’ve always been. We’re certainly not pulled in any new direction rather look at these opportunities as flexibility in product design and ultimately product clearing, and then the global reach because of that added flexibility. So again, not a new direction for us, just giving us much more options as far as listing and clearing, and we pick up certainly with LSE who have just been terrific. A much more collaborative effort on what they see will answer the needs of specifically customers that maybe originating in their home market. So, its business as usual here with much more flexibility and I’d certainly offer Alan or John Deters certainly to weigh in as well.
John Deters: Yes. I’ll just springboard after that. We really are finding new applications for existing expertise and we take a disappointing rigorous approach to what opportunities we will prioritize looking at things like the size of the end market. It’s no secret that the rates market is an enormous end market opportunity and particularly working in an optimized clearing environment and working in partnership with the large dealer banks, we think we’ve got tremendous opportunity to apply that expertise to great success.
Alan Dean: And Ken, this is Alan Dean. I’ll add that AFX, CurveGlobal, Livevol, so all consistent with our M&A strategy that we’ve articulated many times in the past. What we don’t want to do is get into a new business. A business that we aren’t familiar with or we may not have expertise in. What we do want to do is invest in businesses and opportunities that compliment what we already do or take advantage of our strength. So, I think all those do that, and so it’s not being pulled in a different direction. As John said, it’s taking advantage of what we’re really good at.
Kenneth Hill: Okay. Thanks. I appreciate all the color there.
Operator: Thank you. And the next question comes from Ken Worthington with JPMorgan.
Amanda Yao: Hi. Good morning. This is Amanda Yao filling in for Ken. Can you talk a bit more about the VIX Weekly’s both on futures and options? Has experience there been different versus what you’ve seen with the short-term VIX? Thank you.
Edward Tilly: So VIX futures, VIX Weekly, the futures and options again relatively new. Futures began in July -- late July about the 23, and then VIX options the 8th of October. So while futures typically and what we’ve seen in our past similar to how the standard VIX futures contract launched pretty slow. VIX futures Weekly’s are averaging about 300 contracts a day, really needed that option compliment to really start the growth of the regular VIX futures as similarly in Weekly’s with the launch of VIX option Weekly’s, but right off to the races as I say averaging about 25,000 contracts per day. So what's the difference? Its really kind of what I said earlier, the beta or how closely the Weekly tracks Spot VIX is very appealing as is in all Weekly contracts or short dated contracts a difference in premium, and the ability to fine tune investment needs for hedging in and around perceive short-term risks in the market or planned events and announcements in the market place that the utility of Weekly’s offers over the third traditional three week cycle or four week cycle. But I think what we -- also I want to point out in the same way that some SPX strategies are driven and replicating exposure in the futures. So VIX futures today you can replicate that exposure by using SPX options. Similarly you can replicate exposure in the short dated Weekly contracts with Weekly SPX. So we would expect to see some new volume being driven into SPX Weekly’s because of short dated VIX contracts both futures and options. So we’re just beginning to realize that impact in the way that those work hand-in-hand. Anyone else want to weight in, Ed or Alan?
Alan Dean: Amanda your question also touched on why is this different in the nine day volatility product and the fact is, in the nine day volatility product we decided at that point that a -- to setting up a separate index from VIX and trading nine day volatility in the form a Weekly was a approach that we thought the market place would be very accepting of. As it turns out what the market place really wanted was the natural extension of our VIX product which has been so successful and a Weekly variant of our VIX product is what the market place has decided works for them obviously. It’s worked out that way in SPX and in many other established products. So I think and looking back going with a VIX Weekly as it has now shown itself to be quite successful is the way that the market place wanted a VIX Weekly product.
Edward Tilly: And I think it ties in pretty nicely with the question just before Ken was -- some contracts don’t perform well when you launch them and we’re not afraid of that, and we’re certainly not afraid to go back to the drawing board and redesign as is the case and the perfect example of the nine day short dated volatility contract compared to the redesign in launching a Weekly on a 30 day number. So we like this stuff, this is what we do. And if something doesn’t work we don’t give in on the concept, because we heard from the end user there is a demand for short-term volatility contracts. We didn’t have it right the first time. So we go back to the drawing board, we re-launch and we re-launched successfully in this case and that is perfectly aligned and certainly what we’ve been used to doing with our customers in meeting their demands.
Amanda Yao: Thank you.
Operator: Thank you. And the next question comes from Rob Rutschow with CLSA.
Rob Rutschow: Hi. Good morning everybody.
Edward Tilly: Good morning, Rob.
Rob Rutschow: Just a quick question on the Livevol acquisition, I think that’s your first one and maybe close to 20 years. I know it looks pretty small, but I was wondering if you could give us a little bit more color on what caused you to pull the trigger on the deal and is the environment for potential deals changing in your view. And then I was hoping maybe if you could just give us a little bit more detail on the revenue and expense stream there?
Edward Tilly: Alan, do you want to start with revenue and expense, and we’ll get into the Livevol what that does for us.
Alan Dean: Yes. It is as you said Rob, a small acquisition and immaterial really. What we said in the press release is that, we expected revenue and expense for 2015 to be flat and then to be slightly accretive next year. The one revenue line item on our P&L that was affected this quarter by the acquisition of Livevol was exchange services and other fees. And so if you look at year-over-year it’s slightly up, and so that was the Livevol revenue flowing through our P&L. The expenses are included in our core expenses and so, not a needle mover initially, but we think in the long run it provides a great opportunity for us. John, I’ll turn it over to you.
John Deters: Yes, and strategically it’s what, we love highlighting the story because I think it highlights our advantage in market data. Market data is an important strategic focus for us and our advantage really is in derivatives market data and the information that’s embedded in derivatives products. We always look when we look at market data initiatives, we look for opportunities that will feedback into our proprietary products either through increased trading because market participants have new tools and analytics to use to help them gain comfort with trading our products for through the data stream that can be turned into yet more innovative proprietary products for us.
Alan Dean: And I think I’ll add one more comment Rob, which I think I’ve been most impressed with while the technology has been just terrific and really the gold standard in measuring and using volatility. The team that we’ve been able to onboard led by the former CEO of Livevol, Catherine Clay and her team of programmers is just incredible and the on-boarding has gone smoothly, and we couldn’t be more pleased to learn from that team and looking at things in a different way and its just -- its been just a terrific experience for us.
Rob Rutschow: Okay, great. Thank you.
Operator: Thank you. And then next question is a follow-up from Alex Kramm with UBS.
Alex Kramm: Hi, again. I figured I’d come back on a Friday morning. Couple of cool follow-ups, so let me start with the first one. Just on the CurveGlobal again, I appreciate the color there, but is there any direct impact to CBOE on a commercial perspective that may be helping a little bit more even if this thing is not successful, i.e. are you lending any technology or charging for or maybe a more bigger picture, i.e. do you think you’re going to meet new customer sets that might be cross-saled into your core markets. Anything there or is that not a consideration?
Edward Provost: Yes, look those are great questions I think. Certainly we’ll explore every way that we can contribute to the platform, that’s one of the reasons for equity alignment. We’re bought into this venture and we want to see it succeed. So whether it’s through new products, first and foremost that will be the case. Whether it’s through technology that speaks to options, we certainly have that in spades in a lot of different parts of our business and so it looks for those things. At the same time we gained insight into the rates market and inside into the key participants and what motivates them, and we think that’s very valuable know how and expertise that we’ll be developing.
Edward Tilly: Alex and Provo, let me just add on to that. We spent a lot of time in Europe and quite frankly all around the globe, and as we’ve begun to engage in products outside of our normal equity space, it’s very important for us to make contacts and meet people who are expert in areas that we haven’t historically been focused on. So we think CurveGlobal and the people that we talk to in Europe and around the globe relative to that investment will be people who’ll add knowledge base to the CBOE and will allow us to develop our contacts much more broadly than we would, if we had not engaged in that partnership.
Alex Kramm: Great. Then maybe just secondly, since we’re in follow-up territory here. On the VIX Weekly, I appreciate the color. Any other color you can give in terms of where you think you are in terms of people that are traditional VIX users that might be using Weekly’s, that how many are signed up and how many are ready to go? And then, are you seeing any cannibalization at this point? I don’t know if you’ve talked about this? Sorry if you have.
Edward Tilly: No, we didn’t add to that specifically. In the prepared remarks I mentioned that we see some of the same strategies being employed. And what I mean by that is, trading what has traditionally been up and down that vol curve, the time spreads for example. That same type of trade is already showing up in the Weekly’s even with a limited amount of Weekly options on the market place. And we pointed out that we’re expanding the offering and adding more Weekly futures and more Weekly options ultimately to have five Weekly options available. So it would not surprise us in the early stages to see a continuation of the strategies that we see in the month-to-month show up in the Weekly and that’s just taking advantage of the slope and steepness of the time curve -- the volatility over time with much more precision because we’re allowing a much, much shorter end of the volatility curve. But Ed, anything you want to add?
Edward Tilly: No, I think that’s right on, Ed. Alex, its always you expect to see some cannibalization, but also some incremental volume, not necessarily new customers, but similar customers or the same customers engaged in strategies using Weekly’s, whereas previously obviously they were limited to the month wise. And the rolling strategy is really as Ed pointed out the one that we’re starting to see. So we’re very confident a portion of that business is incremental, but it’s always hard to answer a question like that with specificity, because we don’t get transparency all the way down to the end-user.
Edward Provost: I want to point out Alex, the only choice of volatility trader had to trade a listed Weekly contract was to employ the VXX Weekly. So if there is cannibalization, the one we’re targeting is certainly that VXX Weekly or even the pros who favor our VIX contract over VXX, the pure play. Had no other alternative other than to trade a VXX Weekly now with VIX Weekly’s we were certainly offering and I think meeting the demand of some of those users who prefer the pure play VIX over an ETN VXX.
Alex Kramm: All right. Very good. Thanks a lot. Have a good weekend and hopefully to see some of you at FA in next week. Take care.
Edward Tilly: All right. You will.
Operator: Thank you. And next we have a follow-up from Brian Bedell with Deutsche Bank.
Brian Bedell: Hey thanks for taking my follow-up. Just -- Alan, just one more on the RPC. You talked about 2016 and gave great color on the general dynamics. Just a little bit more narrow coming into the fourth quarter. Can you talk a little bit about the member mix that influence the RPC in the index options and the -- also the exchange traded products just the two buckets? And then, how volatility was elevated in the third quarter and whether that influenced RPC? I’m just trying to get a handle of that as we come into fourth quarter with lower volatility?
Alan Dean: Okay. Well, there are -- did you talk about member mix was that …?
Brian Bedell: Yes, member mix and then also the -- way within the index bucket only way …
Alan Dean: Okay.
Brian Bedell: … the VIX moved around, I guess in the …
Alan Dean: Okay. So there are different participants, pay different fees. And so if for instance, in -- and there is different discounts available for instance week cap customer fees and SPX, I think it’s a 15,000 contracts per trade. There are things like that that could impact RPC and our index products. There is a similar type of cap in VIX, but usually the difference in RPC, the impact by market participants is minimal unless we happen to change fees. What it -- the volatility doesn’t -- it is a force by itself doesn’t impact our fees as much as the volume would impact RPC. So what I’m thinking of specifically is VIX futures. In the third quarter we had big volume, we had a lot of movement, so that meant that there were more of VIX day traders in the futures trading. So taking advantage of the price movements intraday, they pay a much lower rate, they have a discounted fee. That would impact the revenue per contract and VIX futures. So in 2014, I’m sorry, in the fourth quarter compared to the third quarter with if volume is lower, I would expect RPC to tick up a little bit in VIX futures just further in that example I was talking about. But I don’t -- it could be the other way as well. The big mover and RPC more than anything else is not participants, its fee changes.
Brian Bedell: Great. And then just on the exchange-traded product line, that’s saw the best RPC increase in the third quarter versus the second. So just the dynamic coming into the fourth quarter and that’s fair?
Alan Dean: Well, the -- it’s related to the products that were being traded. So spiders within ETPs had big volume. Those fees are -- and the ETPs are little bit higher than the equity side and so they resulted in more volume, more revenue and -- in a higher RPC. If you look at our RPC and equities for example, in the last five quarters we had relatively low volume, but the highest transaction fees in the last five quarters in our press release you can see that chart in there. So it is very difficult to predict volume and to be -- to precisely predict revenue per contract. And that’s why one of the reasons why we published that rolling three month average of our RPC each month. So that help you gain insight to what we’re seeing.
Brian Bedell: Yes, that’s great. And then just lastly on expenses for going out into 2016 and beyond on an annual expense base, if you could just reiterate how you see the annual expense growth for the firm?
Alan Dean: Sure. I’d be glad to. So again no different than what we’ve said in the past, we -- and I’m speaking to specifically core expenses, not a volume related expenses. We -- our goal is to limit the growth in core expenses to an inflation like percentage, so 3% to 5% max. It might go over 3% if profitability is there. That might drive incentive compensation, but 3% to 5% year-over-year is our goal and it’s our goal for 2016. We are right in the middle of the planning process for 2016 right now. So I can’t -- I don’t have any more clarity. We will -- of course we will give you guidance on our earnings call in February. And as I think about expenses for 2016, I would apply that percentage that 3% to 5% not to our current guidance that we’re at right now, the 194 to 196, but instead to our original guidance of 195 to 199. I think that’s how you should look at it and we will clarify it in February.
Brian Bedell: That’s perfect. Great. Thanks for all that color.
Alan Dean: Okay.
Operator: Thank you. And as there are no more questions at the present time, I’d like to turn the call back over to management for any closing comments.
Deborah Koopman: Thank you. That completes our call this morning. We appreciate everyone's participation and your interest in CBOE. We look forward to speaking with you in our next call and at meetings. And if you have any questions, we’re available today. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.